Operator: [Foreign Language] Good morning, ladies and gentlemen. Thank you for standing by, and welcome to the 5N Plus Inc. Third Quarter 2025 Results Conference Call. [Operator Instructions] And now, I would like to turn the conference over to your speaker today, Richard Perron, President and Chief Financial Officer. Please go ahead, sir.
Richard Perron: Good morning, everyone, and thank you for joining us for our Q3 2025 Results Conference Call and Webcast. We will begin with a short presentation followed by a question period with financial analysts. Joining me this morning is Gervais Jacques, our CEO. We issued our financial results yesterday, and posted a short presentation on the Investors section of our website. I would like to draw your attention to Slide 2 of this presentation. Information in this presentation and remarks made by speakers today will contain statements about expected future events and financial results that are forward-looking and therefore, subject to risks and uncertainties. A detailed description of the risk factors that may affect future results is contained in our management discussion and analysis of 2024 dated February 25, 2025, available on our website in our public filings. In the analysis of our quarterly results, you will note that we use and discuss certain non-IFRS measures, which definitions may differ from those used by other companies. For further information, please refer to our management discussion and analysis. I would now turn the conference call over to Gervais.
Gervais Jacques: Good morning. Thank you, Richard, and thank you all for joining us this morning. This quarter marks another financial milestone for 5N Plus, with our strongest quarterly revenue in a decade, record adjusted gross margin and a new high for quarterly adjusted EBITDA. These results reflect strong performance across strategic sectors, reinforced by our global sourcing, our manufacturing capabilities and our focus on high-growth and high-value markets. These trends have continued consistently throughout the year. In a complex environment, we are executing our growth strategy with discipline, focusing on the factors within our control. We are building on our unique advanced materials capabilities and leveraging our market positioning as the trusted partner of choice. Entering the year with incredible momentum, our performance has exceeded our expectations, improving quarter after quarter. This is reflected in the latest upward revision to our annual adjusted EBITDA guidance and sets a high bar for the year ahead. Now, let's start with an overview of our Specialty Semiconductor segment. In terrestrial renewable energy, demand remained very strong in the third quarter, with revenue for this sector up 53% over the past year. We continue to ship increased volumes to our key strategic customer under the terms of the expanded supply agreement, which we announced along with our Q2 results in August. Under the new terms, semiconductor compound supply volumes are set to rise approximately 33% above initial contract levels for 2025-2026 period, with a further 25% increase expected over the subsequent 2-year term. Our teams in Montreal and in Germany are working diligently to meet this higher demand, building on our experience from previous expansions. New equipment has mostly been installed, and we are now progressively ramping up effective capacity, with a focus on hiring and training new staff and on maximizing efficiency and productivity. Turning to space power sector. AZUR's revenues increased 43% compared to the same period last year. We have a robust long-term project pipeline firmly in place. At our Heilbronn site, the ramp-up of solar cell production is on track to add an additional 30% by year-end as planned. We continue to explore further opportunities to expand our operations and capture growing demand. On the Performance Materials side, we continue to benefit from exceptional margins despite lower volumes. This once again reflects our unique positioning in a volatile business environment and the strength of our strategic diversified global supply. Thanks to our market leadership and competitive advantages, we will continue to solidify our position as the strategic partner of choice. Looking to 2026, several demand trends are expected to support our continued growth. As discussed last quarter, domestic solar energy is expected to remain a key component of the U.S. energy equation despite shifts in U.S. energy policy. 5N Plus is poised to benefit as a key strategic North American supplier within our U.S.-based customers value chain as reflected in our expanded supply agreement. This outlook is further reinforced by the acceleration in AI adoption, which will rely on abundant clean power and seamless global connectivity. We are uniquely positioned at the intersection of both these megatrends. We can deliver the advanced semiconductor compounds required for the thin-film photovoltaics on earth as well as space solar cells using germanium substrates, which are needed for clean energy and satellite infrastructure. Although the global business environment remains unpredictable, our unique expertise and manufacturing footprint position us to grow organically while we also pursue external growth opportunities. Before moving to financial details, I would like to say a few words about Richard, who, as we announced last week, was appointed President on November 1 and will succeed me as CEO at the end of May. Having worked closely with Richard over the past 5 years, I have full confidence in his leadership, strategic insight and ability to drive 5N Plus forward. He has been instrumental in shaping our growth strategy and strengthening our operations, making him exceptionally well placed to lead the company into its next phase. This transition also comes at the right time for 5N Plus, ensuring continuity at a time of strong momentum. We believe this positions for 5N Plus to maintain its market leadership, execute on growth initiatives and continue delivering for our shareholders. For my part, I look forward to taking on the new role of Executive Chair upon Richard's appointment as CEO next May. In that capacity, I will continue to support the leadership team in the execution of our strategic priorities, ensuring that we remain steadfast in our focus on long-term value creation. With that, I'll pass it over to Richard for a review of our financial results.
Richard Perron: Good morning, everyone, and thank you, Gervais, for your kind words. I appreciate your trust and support. I'm honored by this appointment, and I look forward to taking on increased responsibilities as President and to leading 5N Plus into its next chapter. I have a strong foundation and a clear strategy and a great team. I also look forward to continuing to work closely with Gervais and the rest of the Board to keep 5N Plus on its path for growth. On that note, let's move to our financial results. Another record quarter that highlights the continued strength of our strategy and operations. Increase in revenue, earnings and margins this quarter reflects the accelerating demand we have seen since the beginning of the year in the terrestrial renewable energy and space solar power sectors as well as strong pricing for bismuth-based products. Once again, these results speak for themselves. In today's complex environment, our unique positioning, expertise and agile global supply chain makes us the reliable partner of choice across our strategic sectors. We remain one of the few businesses in our sector and geographies that can both source critical minerals and recycle or refine secondary materials, a key competitive advantage in the current geopolitical context. Starting with our consolidated results, revenue in Q3 increased by 33%, reaching $104.9 million and marking a 10-year high, while year-to-date revenue reached $289.1 million. We delivered record quarterly adjusted gross margin, both in terms of dollars and as a percentage of sales. In dollars, adjusted gross margin increased by 58% to $38.7 million and came in at 36.9% of sales. Adjusted gross margin year-to-date was $102.1 million and 35.3% of sales. We also generated our highest adjusted EBITDA, which increased by 86% to a record $29.1 million in Q3 and grew to $74 million year-to-date 2025, an 81% increase compared to year-to-date 2024. Turning now to our segments, starting with Specialty Semiconductors, where we saw strong volumes across our strategic sectors, better pricing that outpaced inflation and continued benefits from economies of scale. Segment revenue was $75.2 million compared to $53 million in Q3 last year. Year-to-date revenue was $209.2 million compared to $150.5 million last year. Adjusted gross margin was 30.8% of sales compared to 24.8% in Q3 last year. Year-to-date, it was 32.7% compared to 29% last year, favorably impacted by economies of scale due to higher production and higher pricing, net of inflation. Adjusted EBITDA increased by 120% to reach $19.2 million in Q3 and year-to-date $24.5 million -- increased by $24.5 million to $55.8 million. Backlog for Specialty Semiconductors was maxed out at 365 days of annualized revenue as per our definition. However, the effective backlog in reality surpassed the next 12 months at quarter end, given our strong pipeline of locked-in orders. Turning now to Performance Materials, where we continue to experience extraordinary margins, thanks to a combination of favorable inventory positioning, strong pricing conditions over metal output -- input costs. Segment revenue was $29.7 million in Q3 compared to $25.9 million in Q3 last year, where year-to-date revenue was $79.9 million compared to $68 million year-to-date last year. Adjusted gross margin was a record 53.1% of sales in Q3 this year compared to 44.4% in Q3 last year and 42.9% for year-to-date this year versus 36.5% year-to-date last year. Adjusted EBITDA in Q3 increased by 39% to $13.3 million. Adjusted EBITDA year-to-date increased by $9 million to $27.4 million. Backlog for Performance Materials was 104 days, 23 days lower than on June. Combined with Specialty Semiconductors, this bring our consolidated backlog to 311 days of annualized revenue at quarter end, 14 days higher than in the previous quarter. Looking now at our financial position. Net debt was once again maintained at a low level of $63.3 million. This represents a decrease of $26.8 million compared to year-end. That brings our net debt-to-EBITDA ratio to 0.74x at quarter end. Our strong balance sheet and borrowing capacity continue to give us the flexibility to pursue growth opportunities. We are actively assessing potential acquisitions with a preference for the U.S., but we will take the time needed to find the right fit. In parallel, we remain highly focused on hitting our increased capacity targets, optimizing production and identifying more opportunities to expand capacity to meet anticipated demand. Turning now to guidance. For the remainder of 2025, we anticipate demand under Specialty Semiconductors from both the terrestrial renewable energy and space solar power markets to remain strong as customers look to secure advanced materials from trusted and reliable partners. Performance Materials volumes are expected to be slightly lower compared to the first half of the year, consistent with historical trends. Margins will continue to benefit from our strategic global supply chain and sourcing capabilities in today's volatile business environment. Based on our financial performance year-to-date, along with anticipated seasonality and other operational factors, we have increased our adjusted EBITDA guidance from a range of $65 million to $70 million to a new range of $85 million to $90 million. This means that 2025 will be a truly exceptional year from an earnings generation perspective, and the whole team deserves recognition for making this possible. Now, we must remain focused on execution through the end of the year. We look forward to providing 2026 guidance in conjunction with our Q4 results released in February of next year. Looking ahead, we remain prudent in an evolving geopolitical environment that could have impacts on operating costs. As a preferred supplier of ultra-high purity and high-quality advanced materials, we are well positioned to continue solidifying our leadership in key markets through the end of 2025 and into 2026. That concludes our formal remarks. I will now turn the call back over to the operator for the Q&A session with financial analysts.
Operator: [Operator Instructions] Your first question comes from Amr Ezzat with Ventum Capital Markets.
Amr Ezzat: Congrats on the outstanding quarter.
Gervais Jacques: Thanks.
Amr Ezzat: Yes, on a personal note, I'd like to congratulate both of you on the leadership transition. I'm sure I speak for many when I say it's great to see both of you continuing to play a key role in the company.
Gervais Jacques: Thank you.
Amr Ezzat: On to that outstanding quarter, Performance Materials, like 53% gross margin just blew my mind. You noted in the MD&A and in your prepared remarks, support from higher business pricing, product mix and favorable inventory position. Can you help disaggregate how much of that uplift actually came from pricing power versus inventory timing or other one-offs?
Richard Perron: The most -- if you have to weigh the various factors, the most important factor remains the better pricing over the input metal costs, okay, supported by our unique supply chain. The inventory position is a factor, but it's not the most important in realizing the great margins that we've done in Q3.
Amr Ezzat: Understood. That's great to hear. So looking ahead, how should we think about the structural floor for Performance Materials when it comes to gross margins? I've always thought of this as a 30% to 35% sort of gross margin business is like 40% plus like the new sort of bands? Or how do I think of that?
Richard Perron: I have to be honest. This year's performance for that segment is also a surprise for us. But ultimately, when you look back, I mean, it's the -- we're realizing those margins because of all the different things we've done over the years. And now based on the current geopolitical environment, we're doing even better than ever anticipated. So to answer your question, looking forward, this quarter was exceptional. I'll be more inclined to look at the performance or the average performance of the first 2 quarters going forward, which still represent a fairly high gross margin.
Amr Ezzat: Yes, indeed. Okay. Then on your updated 2025 EBITDA guidance of $85 million to $90 million, it implies a material step down in Q4, especially considering the last couple of quarters have just been blockbuster quarters. Can you walk us through the moving pieces driving the implied Q4 EBITDA? Is it mostly like Performance Materials maybe like coming back down to what you consider to be a normal quarter? Or is there some costs maybe embedded in Q4 that we should think about?
Richard Perron: Well, there's a factor that remains under Performance Materials. Typically, if you leave aside the pricing over the metal cost, volume tends to be lower in the second half, and it's in Q4 that it occurs the most, okay? It has the biggest impact from a seasonality perspective. For Specialty Semiconductors, the volume is definitely better than in previous periods in our overall financial performance. But we're in a situation where we're going to take advantage of this Q4 to most likely accelerate some of our annual maintenance announced to start 2026 on a more stronger foot than ever, okay? We've been pushing hard on all of our teams and equipment this year. So this year, we're going to be bringing forward some of our annual maintenance that were originally planned for 2026 and other things around our operations to start 2026 in perfect shape.
Amr Ezzat: Okay. Understood. So that's just like...
Richard Perron: So, we are moving -- we're going to be moving maintenance schedule essentially and other projects forward.
Gervais Jacques: In order to meet the growing demand for 2026, you need to be -- we need to make sure that all the equipment are in great shape.
Amr Ezzat: Understood. So, you're moving forward some OpEx from 2026 into Q4?
Richard Perron: It's going to have an impact, both on OpEx because we're going to be accelerating some of our planned maintenance expenses of next year. And it may have some impact also on volume that will be most likely realized starting in the new year.
Amr Ezzat: Yes. Understood. And ensuring that, you've got a good first year as President and CEO. Then maybe one last one for me. On the First Solar conference call, an announcement, they were speaking about their new 3.7 gigawatt facility in the U.S. And like, obviously, the theme we've been following the reshoring, I guess, from Southeast Asia. I'm just wondering if we should think of this as incremental demand for 5N? Or is it just part of the agreement you guys just announced or the expanded agreement, I should say, that you guys announced last quarter? And if it is part of the agreement you announced last quarter, is there a potential for you guys to start to see some like pull forward of volumes into the second half of 2026 as this facility comes online? Maybe just some of your thoughts on that.
Gervais Jacques: Well first of all, it's a great news to see First Solar investing in North America. I think it supports our strategy, and it's a great news. Secondly, the announcement was related to a finishing line. Then it's not the full line that they are moving. It's really the finishing part of the panels. Then we don't expect that to have an impact directly on our volume, though it was already embedded in the new contract we signed for the existing line. It does not mean that further investment will not happen for First Solar. But for the time being, it does not have a material impact on the volume we're producing to them. Remember, we're growing 33% for '25 and '26 and an additional 25% for '27 and '28.
Richard Perron: But as Gervais said, it remains a very important announcement because that confirms that they're definitely extremely competitive in the U.S. market, which is one of the most important growing market.
Amr Ezzat: Congratulations again to both of you.
Gervais Jacques: Thank you.
Richard Perron: Thanks.
Operator: Your next question comes from Michael Glen with Raymond James.
Michael Glen: I'll just echo Amr's comments. Congratulations on the promotion and for all of the progress made at 5N Plus since you stepped into the role as well.
Gervais Jacques: Thanks.
Richard Perron: Thanks.
Michael Glen: Just to come back to the pricing dynamic on business. Is it natural to think, or is there a scenario where if you're getting this better pricing on the business, you will have to eventually flow that through to some of the end customers in the market?
Richard Perron: No, no, no. I'm not sure I understand your question, but there's essentially the way it works, it's a bit different from one product to another. But for many of our key products that are especially performing well this year, we charge a premium over the most recent notation. And then anything that we have from a positioning or supply advantage becomes part of the profit on top.
Michael Glen: So, you're able to hold on to whatever that input cost pricing is?
Richard Perron: Yes, yes. That gets repriced every period or -- yes.
Michael Glen: And moving over to some of the critical materials that you're involved with on the AZUR and First Solar side, germanium availability, have you seen any limiting factors with germanium availability in your global supply chain? And maybe as well, if you could comment on tellurium as well.
Gervais Jacques: Well, in terms of germanium, there's definitely no problem on availability. On pricing, though, it costs more. And you've seen the germanium price increase over the last few months. But in terms of availability, there's no -- it's not an issue for us. In terms of tellurium, again, same thing. Pricing has been evolving over the last few months. But in terms of availability, we have a strategy to capture all the tellurium available outside of China.
Michael Glen: And just circling in on germanium, we do get a lot of questions about sourcing of the material. Can you give us some sense as to how you source your internal needs for germanium, where the material comes from? And is there still material that does get supplied from Chinese sources in...
Gervais Jacques: No. Without disclosing names, our germanium is coming from Canada, coming from Europe and some small volume from the U.S.
Richard Perron: Germanium is not exclusive to China. Germanium comes from zinc and coal operations. So, there's definitely germanium available outside China. And germanium usage consumption for space applications remain quite small compared to other sectors like fiber optics and others.
Gervais Jacques: And currently, there's a lot of germanium being landfilled, not being valorized. Now at the new pricing, some companies that are currently not valorizing germanium, they're looking at projects to start valorizing it. One example is Kennecott Utah Copper. They're not valorizing their germanium so far.
Michael Glen: Interesting. And just one final. Just with AZUR, can you speak to what we should think about in terms of margin tailwinds at AZUR? Is there still -- for '26, '27, is there still pricing tailwinds, mix tailwinds? Just trying to think about what's still there from a margin expansion perspective.
Richard Perron: Okay. On an absolute basis, as you're aware, we've been adding constantly capacity. So, you're going to have economies of scale from producing more. From a pricing perspective, we expect that we'll be able to adjust pricing over and above inflation and/or cost of the key input materials. So, that's what we foresee forward. So economies of scale from our production, while at the same time being able to adjust price based on inflation and input costs.
Operator: Next question comes from Michael Doumet with National Bank.
Michael Doumet: Again, congratulations on the results and obviously, congratulations on the [indiscernible]. The first question I had, and it really, I guess, leads up to the previous one. I was wondering if there was any change or evolution in how the company is currently securing China metals this year. I think you already talked about germanium, but in the previous question. But I'd like to hear a little bit more on the business side versus prior years and whether or not that's leading to [indiscernible] margins?
Richard Perron: Look, we have not changed anything. We're just -- we just have, as you know, adjusted our footprint over the years in our product portfolio. And today, we've been holding on to the best of the best products, the best combination of clients and products, while at the same time, we've been investing in our assets. So today, we're in that position where we can source business at a very good price, while at the same time, products that we're making and supplying to our clients are critical, and our clients are extremely happy to rely on us for that key material.
Michael Doumet: And then I guess turning to AZUR, you talked about how well that business performed in the quarter. At what point do you think you'll have enough visibility to consider another capacity expansion beyond the 30% [indiscernible].
Gervais Jacques: The way we work, and we've been super consistent on that, we are securing the contracts. And when the backlog is large enough, we're investing. Then we've been doing that since the acquisition of AZUR, and we will continue to adopt this strategy. Then so far, most of the sales for next year are already being done. We're securing contracts for '27, '28. We already have some volume after '28 already secured. Then once we're going to feel comfortable enough, we will look at further increasing the capacity.
Michael Doumet: So not quite there yet, but presumably getting closer. Maybe just a third question, I guess. On the M&A piece, you spent -- it sounds like quite a bit of time doing diligence and M&A opportunities. So, I'm assuming you've refined, I guess, what you're looking at this point. Any way you can outline for us the framework or how investors should think about next deal could look like for the company?
Richard Perron: It's a bit early to give details, but I guess we can say what it won't be. It won't be a start-up, and it won't be a business that does not generate EBITDA today. It's going to be a quality asset in the material technology field and/or specialty chemical field that ideally has those 3 key attributes that are behind today's success for the company, manufacturing and selling enablers to our clients, remaining a small cost component to our clients' products and ideally the relationship this business will have with its clients will be one that is referred to as a partnership rather than making and trying to sell stuff.
Operator: Your next question comes from Nick Boychuk with Cormark Securities.
Nicholas Boychuk: On the AZUR pipeline and capacity expansion in Germany, can you give us a little bit of color on how you're thinking about where that capacity expansion is going to happen and how much you can take the Heilbronn facility higher? And at that point, what the next step would look like?
Gervais Jacques: Well, at Heilbronn, I think we have the space to further grow the capacity. Then I think we're not limited by the physical space of the Heilbronn facility. It will most likely -- the expansion will most likely happen in Germany to take on the benefit of having all the experts located at Heilbronn. Then it's really a matter of making sure that we have all the contracts on hand before further increasing the capacity.
Richard Perron: We believe we still have a few rounds of capacity expansions. We're working the layout and using the available space.
Nicholas Boychuk: Got it. And then switching to margins within the specialty semiconductor space. I'm hoping you can maybe unpack a little bit how much of the year-over-year improvement was due specifically to price versus economies of scale. Obviously, it's tough with First Solar given the new contracts, but how should we be thinking about what that margin profile looks like now going forward, given that effectively all of the volume with First Solar is now contracted and no longer spot?
Richard Perron: Well, if you look at it from a year-to-date perspective, that should be a good level to go forward. Obviously, we'll continue to be positively impacted by economies of scale. But as we've been mentioning, being quite vocal, we expect some costs to increase due to inflation and other geopolitical factors.
Nicholas Boychuk: And then last one, can you give us a little bit of an update on some of the other maybe longer-tail growth initiatives you have ongoing, things like MRI applications in defense with germanium, long-duration storage, any of those programs progressing and advancing as you'd like to see?
Gervais Jacques: Well, in the case of medical imaging, I think we're collaborating with different customers. We've been developing products with them together with the different customers. They are now -- they've been testing it. They've been producing their spect scan or their photon counting detectors, depending on their products. And some of them are currently into commercialization like Siemens. Other one will soon launch their products. Then we're getting closer and closer to see the demand increasing. We have all the capacity available at our St. George, facility in Montreal. Now it's a matter of meeting the demand when the demand will be there. Then we're quite confident to see the volume increasing next year, but significantly in year 2 and 3.
Richard Perron: Yes. How it's going to evolve most likely will go from spot business to long-term contracts.
Nicholas Boychuk: And is that the same kind of picture that we're seeing with some of the long-duration storage and defense applications?
Richard Perron: Yes, most likely, similar scenario.
Gervais Jacques: Similar scenario as well, yes.
Operator: [Operator Instructions] Your next question comes from Frederic Tremblay with Desjardins.
Frederic Tremblay: I wanted to ask on AZUR, if you've seen any notable changes in the business environment there, whether it's from a competition perspective or customer demand in the space sector, just your update on the business environment in space?
Gervais Jacques: Well, so far, if you look at the supply -- the fundamental supply and demand, we believe that the market is still stretched, meaning that the demand is currently exceeding the supply. Then we're taking -- because we were the first one to move and install additional capacity, we're taking full benefit of securing these contracts. Our competitors is also currently -- one of them is currently investing, increasing its capacity. It will have an impact on 2027 onwards. Then we have another year ahead of us to secure more contract and taking the full advantage of being the first mover.
Frederic Tremblay: Great. And then obviously, in terrestrial, we know about your key customer there. But for AZUR, how is the customer concentration landscape? Is the customer base pretty broad? Or is there 1 or 2 that are the bulk of the business? Maybe just a reminder on that would be helpful.
Gervais Jacques: The way it works is we're earning contracts. Then every year, if you look at our top 5 customers, there's a lot of movement. It's not the same 5 customers year after year. We do have one, which has been there for the last 2 years because we developed the product together, then they are already -- they are always on the top 5. But the remaining list is quite in motion depending on the contract we earn. Then if I look at the year to come, we will see again some changes on the top 5 list.
Richard Perron: So, you have somewhere between 5 and 10 really active clients. And from one year to another, the actual revenue level changes based on the projects that we've earned with these guys. But it does not have the concentration that we have on the renewable energy.
Frederic Tremblay: Understood. And then lastly, just on CapEx, maybe as we look to next year, I know it's probably tough to tell right now. But directionally speaking, should we expect CapEx to move up slightly or perhaps meaningfully if there's something to do at AZUR?
Richard Perron: It's most likely going to be at a similar level than this year.
Operator: There are no further questions at this time. I will now turn the call over to Mr. Perron for closing remarks.
Richard Perron: Okay. Well, we would like to thank you all for joining us this morning, and we wish you all a good day.
Gervais Jacques: Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.